Operator: Good day, ladies and gentlemen and thank you for standing by. Welcome to the ShawCor 2014 Second Quarter Results Conference Call. At this time all participants are in a listen-only mode. Late, we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions). Please note, today’s conference is being recorded. I would now turn the conference over to Mr. Gary Love, Chief Financial Officer. Sire, please go ahead.
Gary Love : Yes, thank you, good morning. Before we begin this morning’s conference call, I would like to take a moment to remind all listeners that today’s conference call includes forward-looking statements that involve estimates, judgments, risks and uncertainties that may cause actual results to differ materially from those projected. The complete text of ShawCor’s statement on forward-looking information is included in section 4 of the second quarter 2014 earnings press release that is available on SEDAR and on the company’s website at shawcor.com I will now introduce ShawCor’s CEO, Steve Orr
Steve Orr : Thank you Gary, and thank you ladies and gentlemen for participating in this morning’s conference call. ShawCor released our second quarter financial results yesterday evening. The results are solid with revenue in the quarter reported at 441 million. As expected revenue did decline modestly from a year ago levels as project volumes in Asia Pacific wind down following completion of the Chevron Wheatstone and the Inpex Ichthys project. However we did see solid year-over-year growth in each of our other regions, this was particularly evident and North America with growth across a number of product lines EMAR with a pickup in pipe coding volumes in the UAE and Italy. With the decline in high quality revenue coming from Asia Pacific large projects, we did experience a softening in overall operating margins with the pipeline segment operating margin decreasing to just under 19%. We expect further softening in operating margins in the second half of the year now that we have completed the Inpex Ichthys Flowlines projects in Asia Pacific. The weakening in financial performance in the second half of the year is expected to be temporary. Based on growth in our backlog and a strengthening in bidding activity we are increasingly optimistic that 2015 will provide solid growth in revenue and earnings. I will comment further on the outlook in a moment, but first I will ask Gary Love, our CFO to provide you with key details of the second quarter financial results.
Gary Love: We are reporting revenue of $441 million in the second quarter and that’s a decrease of 3.5% in the second quarter of 2013 and it’s also down 8% from the first quarter of this year. Now compared to the prior year, revenue increased in every region in both segments with the exception of the pipeline segment Asia Pacific region. The most significant increases were in the pipeline segment with North American revenue up 13% and that was a result of growth at Flexpipe, and the Socotherm Channelview acquisition; and at EMAR, with revenue up 41% due to higher volumes on a variety of projects at our Ras Al Khaimah facility in the UAE. These increases were not sufficient to offset the $62.5 million or 37% decline in revenue in Asia Pacific in comparison with year ago when the Inpex Ichthys gas export pipeline project had been in full production. Compared to the first quarter of this year, the revenue decrease was attributable to a 10% softening in North America with Canada impacted by spring breakup and a temporary reduction in U.S. land weld inspection work. We also had a 17% decrease in Asia Pacific due to reduced volumes on the Ichthys Flowlines project. In the petrochemicals segment, revenue increased over both the first quarter and second quarter of the prior year due to strong growth in wire and cable shipment and on a year-over-year basis due to growth in European automotive shipment. On a consolidated basis, reported gross margin in the second quarter are 40.6%, down from 41.4% in the first quarter and down from 42% a year ago. The pipeline segment gross margin was 41.7% versus 42.5% and 43% in the first quarter and year ago respectively. In each case, the decline in gross margins is attributable to the continuing decrease of Asia Pacific revenues with their higher associated gross margins as a percentage of overall company revenue. The petrochemicals segment gross margin increased to 31.2% from 30% in both the first quarter and the year ago quarter. Now with both revenue and gross margins lower, gross profit decreased by $13 million or 7% from the prior year. SG&A expenses were basically unchanged from the prior year due to reductions in our short-term incentive compensation accruals did offset both salary cost inflation and higher long-term incentive plan cost. The Company’s consolidated EBITDA for the second quarter is $82.9 million, a decrease from a $102 million a year ago. The consolidated EBITDA margin in the second quarter is 18.8%, consisting of 22% in the Pipeline segment and 19.3% in the Petrochemical and Industrial segment. Depreciation and amortization in the second quarter is $15.1 million, a reduction of $5.3 million from a year ago. This amount will increase substantially in the third quarter with the commencement of amortization of intangibles, resulting from the Desert NDT acquisition. Below operating income, we have reported a gain from the sale of joint venture interest of $2.5 million. This has been partially offset by losses from joint venture operations of $1.7 million. During the second quarter 2014, the Company has recorded an effective tax rate of 27% which is in line with the Canadian statutory rate and also the rate we had in the first quarter and is down slightly from 29% that was recorded in the second quarter a year ago. Before changes in non-cash working capital, the cash flow provided by continuing operations was $61.6 million. This compares with 79.8 million and 79 million in the first quarter and year ago quarter respectively. The decrease was primarily due to lower net income and depreciation. The change in non-cash working capital was a net cash outflow in the second quarter of $48.2 million. This compares with a cash outflow of $63 million in the first quarter and a cash flow of $102 million a year ago. The decrease in the cash outflow for working capital primarily reflects the normalization of deferred revenue and accounts receivable following the completion of the Inpex Ichthys pipeline projects. Total net working capital at the end of the second quarter 2014 has reached $294 million. This compares with a $136 million at the start of the year. The major changes include over the six months a $68 million build in accounts receivable. The change in deferred revenue which is leveled out at $64 million and that was down from $84 million at the start of the year and a $20 million reduction in assets held for sale. Cash flow used in investing activities in the second quarter excluding reductions in short-term investments, was $26.8 million. This consists of capital expenditures of $20 million, the SAIS acquisition of $1.7 million and the payment of deferred purchase consideration that relates to the 2010 Brazil acquisition of $18 million. These amounts were partially offset by proceeds from the sale of joint venture interests of $12.8 million. Based on the excess of investing cash flow over cash generated from operations, in the second quarter our cash plus short term investments balance has decreased to $50 million compared with $64 million at the start of the quarter and $86 million at the start of the year. I will now turn it back to Steve for his commentary on our outlook.
Steve Orr : Thank you, Gary. As I noted at the outset on this call, we continue to expect the earnings in the second half were lagged a performance that we reported for the first six months of this year. The decline in performance will be attributed to lower operating margins as opposed to revenue decrease and the margin decline will be a direct result of overall product mix shift as revenue moves away from Asia Pacific large projects that have been so accretive to margins over the past 24 months. Now despite this short-term outlook for modest weakening in earnings, during the second quarter we experienced a number of positive developments that positioned the company very well for strong growth in revenue and earnings in 2015 and beyond. First, we secured several large contracts and reported an overall increase in order backlog which ended the quarter at $684 million, up from $617 million at the start of the year. Key contract awards in the second quarter included the $70 million pipe coating award for South Caucasus pipeline which is the first scope of pipe coating award in connection with the BP led Shah Deniz gas development in the Caspian Sea. Another important project in EMAR region is South Stream. And with this quarter’s announcements, we have secured over a 130 million in coating contracts including the concrete coating weighted coating and join protection for South Stream Line 1 and the anticorrosion coating for South Stream Line 2. There is additional work still under bid in this area. In addition to the growth in backlog, we also noted a pickup in bidding activity with a value of currently outstanding firm bids now exceeding 1 billion. The largest component of this bid amount continues to be various scopes of work that makeup the Shah Deniz project. However, bidding activity is quite diverse with large projects under bid in Asia Pacific, Latin America and both East and West Africa. The continuing strength of bidding activity provides us with the optimism that we will see further backlog growth through the second half of this year. Another key development in the second quarter was the finalization of agreement to acquire Desert NDT. This transaction closed on July the 8th and thus the result of Desert NDT will be included in our second half performance. Desert NDT is a premium company that provides us with earning accretion this year and along with our existing Shaw pipeline services business will provide us with a solid platform and which to grow our pipeline integrity management business. In the area of technology development, a numbers of events are noteworthy. First, we are now fully in the early adapter stage of our new 6-inch FlexFlow composite pipe product with several customers having installed. During the third quarter, we expect to complete the acceptance testing of the high volume production tape winder and making the move of this equipment to install it in the new FlexFlow facility in Calgary. Once it is complete, we will be well positioned to rapidly expand our production capacity. Our focus then will be to introduce and work on the 8-inch FlexFlow product in the fourth quarter of this year, with these milestones well in-hand, we are confident that the significant FlexFlow commercial volumes will be realized in 2015. Another important technology development in the second quarter has been the continued expansion of the IntelliCOAT automated fuel joint applications system. IntelliCOAT was a critical factor in the award of the South Stream line 1 joint protection contract. The South Stream application will represent our very first use of IntelliCOAT for an offshore pipeline. Technology developments continued in several of the other business units as well. They include the successful field trial of our next generation real time radiography well inspection system, commissioning of our late in the black box mobile latest configuration and the continued deployment of place tracking and traceability enabling technology that we have jointly developed with Vintri. Finally, I’d like to highlight the continued gains and operational effectiveness at Socotherm. Our efforts to improve the operational performance of Socotherm is also Mexico facility in Channelview, Texas have continued. And the margins from this facility have shown quarter-over-quarter improvements. At the Socotherm facility in Pozzallo, Italy, we have successfully re-launched the plant and have executed the first of three projects that will be undertaken this year. Based on this success, we are well positioned for the launch of the 40 million Moho Nord project later in the third quarter. With that, I would like now turn it over to questions and I will ask the operator to open it up.
Operator: (Operator Instructions). Our first question comes from the line of Jeremy Mersereau from National Bank Financial.
Jeremy Mersereau - National Bank Financial: First just wondering what the sales for Flexpipe were for the quarter?
Gary Love: We don’t disclose this on unit level revenues. What I can say is that Flexpipe continues to grow. And In fact if we look at, we have talked directionally about sort of order of magnitude where Flexpipe is as a business in 2013, we’ve indicated that it was operating in the approximate 150 million level on an annualized basis. It has continued to grow from that level. And we would expect that in 2014, we will see solid double-digit growth in that business and certainly that’s been the case in the first half of 2014.
Jeremy Mersereau - National Bank Financial: I guess you said you should see significant growth from the FlexFlow product in 2015. Can you give us an indication what kind of significance that would be?
Steve Orr : No, I think maybe, we choose to be very clear, so we talked about two separate product expansion in 2015, right? So we were launching today the 6-inch 750 and we haven’t sold it, so it’s in early adapter phase. And we are now moving to commission the production of that product in Calgary. So the next one we will bring to market and we will finish the introduction this year will be the 8-inch 750. So that means by the end of this year we will setup in 2015 for the commissioning of both lines but I would say that the revenue will be not material on the overall material factor. So, we will still continue to make most of our money from our core product which is the dry fiber vinyl product for engine and the FlexCord. So, it won’t be until, I would say the fourth quarter and certainly the fourth quarter but very confident first quarter of 2015 that you will really see full production of the flexible product but I don’t expect you will see any revenue Q1, Q2 next year, any material revenue that’s the one.
Gary Love: I think the sort of production ramp up is going to be very much related to the buildup of the capacity and we see that sort of capacity building through 2015. Appreciate that at this stage we are still in early adapter trials. We will be in commercial release in 2015 but the real meaningful contribution of revenue I think we will see that in 2016.
Jeremy Mersereau - National Bank Financial: Next on the backlog, is it safe to say that most of the growth came from EMAR and I guess reductions came from Asia Pac?
Steve Orr: Yes, definitely the reductions came from Asia Pac. The building backlog was certainly evident in EMAR with the large projects but also we did see some growth in the Americas as well.
Jeremy Mersereau - National Bank Financial: Okay and I guess back to the Asia Pac, do you see 2015 and ‘16 levels increased from the reduced rate we are expecting in the second half of the year or is that the new run rate?
Steve Orr : I think one of the critical elements in our outlook for Asia Pacific in 2015 will be a project that is currently being dead and I see Chevron IDD project. If we are awarded that project then that would be I think significant in terms of providing a potential pickup in activity in Asia Pac, so that’s a key project. It’s in our bid list today and between now and the end of the year we would hope to have some indication of which direction that’s going to go.
Operator: Thank and our next question comes from the line of Dana Benner from AltaCorp Capital.
Dana Benner - AltaCorp Capital : I wanted to start with Shah Deniz and you already announced some initial success there and acknowledging that there is certainly more out there that could win any additional color on where you think those processes are out would be very helpful?
Steve Orr : So, I think we have seen an acceleration in the discussions around the contractual terms related to the large projects in the Caspian area and I think in all fairness it’s probably driven by the need for Europe to look for alternatives for additional gas other than Russia, so everything is moving ahead. It’s been accelerated; I would fully expect we will have clear understanding of the award no later than the beginning of Q4. I think this is the expectation but we are now at the point where we are now to the nuts and bolts of the negotiations and bidding structure to secure this work.
Dana Benner - AltaCorp Capital: Secondly with respect to the, I know that you guys don’t like to give too much in the way of guidance but we appreciate any that you do, do and I know the comment that revenue should be higher now in ‘14 versus ’13 given the acquisition of Desert. Having said that I run that through my model and it would appear that would even be higher than I would have been expecting. And I wonder if that’s simply a reflection of the contract wins that you have made in EMAR or if there is may be an optimism in any other part of your global business lines that might have pushed your internal expectations higher?
Steve Orr : I think we will share the question a little bit, Dana, I think first thing that we are actually seeing is that our day-to-day activity businesses that probably are not even visible in the backlog is growing. So, for example FPS is doing very well and this would not show up, so we are going back much closer to their historical numbers where our revenue stream is getting closer to the 80% of the day-to-day revenue is coming, is resulting in top-line growth. So, we are seeing the strengthening in these businesses. Then I will let maybe Gary comment in terms of how much we are going to exceed 2013 in reference to Desert?
Gary Love: I think underlying takeaway here is that whereas probably at the outset of this year, we would have expected revenue in 2014 to be less than 2013 today we would expect it to be on par or higher or slightly higher than 2013. So that’s really the -- and a large element of that of course is Desert NDT. Desert on a revenue basis, it is a business generating on an annualized basis in excess of a 100 million and we will have a full six months of that contribution in our revenue in the second half of this year. And so that is something that certainly wasn’t visible to us at the start of this year when we had provided the qualitative guidance that revenue would be down in2014. Now we must stress however that we are not altering view around margins. Margins will be lower in 2014 than they were in 2013, we’ve been very consistent on that point, we’ve restated that again today in fact the specific point that Steve made earlier on that call was that we will see margins coming down from the second quarter levels in the second half of this year, that’s certainly I think inescapable. Part of that is or the largest element of that is the product mix shift but also we have an element in our cost structure in the second half of a repositioning of activity as we have to draw down costs in Asia Pacific and we are building up cost particularly in EMAR to support what will be extremely strong volumes in 2015 in that region. So we’re going to suffer from that a little bit in the second half of this year and probably in particular in the third quarter of this year. So a certainly a good news story on the revenue side, but balanced by a challenge on the margin side. A challenge that we do think is somewhat temporary that then as we start to get into 2015 and see full volumes on some of the work that we are anticipating we will be in production, we should see a better story on margins.
Dana Benner - AltaCorp Capital: Just two of my questions if I may. Firstly even though you have secured a number of EMAR projects, the bid log is up by roughly $200 million so any additional color that you can give on the increment would be helpful? And then secondly maybe you could address the accelerated shipments of Flexpipe into Brazil or I guess in the Latin America I don’t know if you specified Brazil then into Latin America?
Steve Orr : So I think in the Latin American shipment, the Flexpipe is primarily the anti-buoyant product FlexCord and we are moving it into Venezuela for the application in Lake Maracaibo. We will see in 2014 we’ve started seeing revenue so we’re paid in events for this work and we recognized the revenue upon the deployment of the product, we will see in 2014 in Q3. So next quarter we will start seeing it. We are on schedule the majority of I’d say one third shipment has gone out. So we will see this in Q3.
Steve Orr : The first part of your question, I’ll let Gary take it.
Gary Love: I guess when we look at the bid backlog, we were citing at the end of last quarter roughly $800 million bid backlog and that’s now increased to an excess of a $1 billion. There are number of additional smaller projects that are now under bid. I would have to say a fairly diverse range of smaller projects that have been bid. In addition though as we’ve moved through the bidding process and as the scope of work has been firmed up, we have seen some higher bid values on projects that were underbid in the prior quarter, probably Shah Deniz being the most relevant. And that’s not unexpected because we bid through a scope of work, we provide a firm bid and then clients will often ask us to rebid based on changes in scope and in this particular case, in the number of cases we’ve seen higher scopes of work and thus the total value of the outstanding bids has been increasing.
Operator: Thank you. Our next question comes from the Sarah Hughes from Cormark Securities.
Sarah Hughes - Cormark Securities : Gary in that Asia Pacific, would you be able to tell us how much of the excess contract you delivered this quarter?
Gary Love : For our own intention purposes, we completed the Inpex Ichthys flowlines project and the volume on that was down a little bit from, I don’t know what the exact revenue was that we delivered in the quarter but the project is basically done. It was a $100 million project you will recall and it was executed basically over the two quarters but there was a distinct tilt to the first quarter whether it was 60-40, I can’t say of the top of my head.
Sarah Hughes - Cormark Securities : And in previous quarters you were guiding for 2014 Asia Pacific revenue to be at least 50% of 2013, is that kind of still what you are thinking about for this year?
Steve Orr: Obviously with what we have reported in the first six months of the implication is a significant reduction in the second half in Asia Pac, so we said that our revenue would be down by about 50% that’s what we said and that continues to be our outlook. By year-to-date, we have generated, we have reported $249 million of revenue from Asia Pac, so the implication is really significant decrease in the second half and that is exactly our outlook.
Sarah Hughes - Cormark Securities : And what does the outlook look for Asia Pacific next year in 2015?
Steve Orr: To the previous question, the answer has to repeated, it’s going to very much depends on IDD. I think the good news on IDD is that that project is moving ahead, clearly there have been announcements and contracts are being issued. The awarded work on the pipe coating scope of work would translate into revenues fairly rapidly after award. So, it is a project that is very much potential for 2015 but of course we have to be awarded the work first.
Sarah Hughes - Cormark Securities : Okay and then would you be able to tell us in your bid book, approximately around how much it represents?
Steve Orr : You can see we are bidding the work, so we are not going to provide the specifics but it’s a meaningful component of the total bid book.
Sarah Hughes - Cormark Securities : And then you talked about in your MD&A and lots of excited things that you have seen in Latin America and talked growth in that area. Can you just talk a little bit where that’s come from?
Gary Love : It’s primary Venezuela, today with some success in other Latin American companies are around small installs in Columbia, in Argentina in that area but primarily the largest is the anti-bowing product into Venezuela.
Operator: Thank you. And our next question comes from the line of Scott Treadwell from TD Securities.
Scott Treadwell - TD Securities: I wanted to maybe jump back to Flexpipe and obviously you are talking about ramping up capacity of the 6 and 8 inch line. At this point the investment you have made in the new production equipment, can you give us a sense that maybe at full capacity what kind of revenue that might generate? Obviously there is a ramp up period that’s not going to get to a 100% but what would be the sort of blue sky level based on the investment you have made to-date?
Gary Love: I think I am not sure if you were with us yesterday, we just had a Board Meeting, so we spent yesterday looking at the investment that we required to bring fresh flow at full production level. So, I think we have to look back at what we have done with our core products so when we build plants, we have put it in and then we have optimized volumes that continue to increase. If you look at variable, of course it is the equipment but also the pricing you get with the product. So, I would expect when we are fully installed in the facility that we will build in Calgary for FlexFlow when it’s fully up and running at our current requirement with lines that we, and again we are doing the acceptance testing to prove the product. It will be in excess of in the $60 million, $75 million range fall out but that’s with the understanding of the pricing point that is quite conservative.
Steve Orr : To be clear though Scott, to be clear that capacity is not in place today far, far from it, so the capacity we have in place today is really capacity that you would have to see as R&D type of volumes. We are producing pipe for testing and we are able to produce sufficient pipe for early adapter trials but on a very limited basis. We now need to undertake investment to start building out real production capacity.
Steve Orr : I think, Scott, we have talked about this in the past. I think to give ** So to give people numbers that they understand and kind of the challenges that we are taking on Board and where we are moving is our current, what Gary referred to is R&D winder does it a joint of FlexFlow per day. So this is a one joint. Our second stepping of the high speed winder that will go into production will do -- join the pipe every 10 to 11 minutes. So we have to move all that equipment and put it in place and industrialize it and this will start and is underway right now but that’s why keep referring to revenue from FlexFlow at the end of 2015.
Scott Treadwell - TD Securities: That’s great that was kind of what I was looking for. Obviously there is a lot of distance between here and there but at least an idea of what you are aiming for is great to start with. I wanted to move on lots of discussion of around South Stream, I’m sure you’ve got this question a lot. In your view, is there any heightened risk to project delays or deferrals given the geopolitics of the region today or are you still relatively comfortable with that revenue stream proceeding as you sort of expected it would.
Steve Orr : It is indeed a question we get asked often, it is something we monitor very closely. So I will make a very clear point to start with. So today we have seen no indication of delays. So in Q3 and we anticipate -- in Q2 sorry, and we anticipate in Q3 that we will continue to execute and receive pipe on schedule related to South Stream projects. And this includes the line pipe coating and field joint coating that we’ve been awarded, so we’ve seen nothing. I would also add that the structure of our contracts really don’t give us much exposure with the exception of projects actually being delayed. I don’t think in anybody’s intelligence today that the projects will go away, because Russia will continue to look for avenues to move gas to European market without going through the Ukraine. So we are watching it today, we don’t see anything, we have -- I mean the statement I made earlier today in our backlog or in contracts that have been awarded it’s about a $130 million. And so with the mechanism of how we put in backlog numbers it’s the portion of our backlog numbers of the 130 that we will execute in the next 12 months. So we watch it all the time I don’t think if you look at the sanctions South Stream stands out because South Stream is a gas line and gas is absent from sanctions. However, the most recent ones that look at banking and financing may play some role. But today, we are receiving pipe from EUROPIPE and the Japanese pipe mills on schedule, on time. So we don’t see anything and we continue to anticipate we will receive the revenue opportunities throughout the whole project on time.
Scott Treadwell - TD Securities: Ship to Latin America and it feels like Mexico seems to be getting closer and closer to whatever its normal is going to be. Have you seen an increase in customer enquiries bid activity anything like that would give you cause for sort of concrete optimism as you look into ’15?
Steve Orr :  So very well, so we are seeing some of our business that have a quick cycle time we’re seeing any uptick. So for example, Guardian in Mexico to date is seeing increased growth higher than we expected. And on our pipe coating businesses, we also are seeing increased bidding activity. So that we are seeing higher than expected activity at this point in time, we thought it would close towards the end of the year.
Scott Treadwell - TD Securities: And last one from me with the bid book increasing, have any firm bids yet gone out for pipe work really at the Canadian LNG projects.
Gary Love: There are no -- none of the Canadian projects are in are from bid lift. They are in our several of them at least are in our budgetary or visibility lift and that’s another building dollars by the way, and that’s where we would see some of the Canadian work. It has not reached from bid stage yet.
Scott Treadwell - TD Securities: Would you characterize those projects as having progressed through that sort of budgetary estimate process in the last sort of three to six months?
Gary Love: Through the engineering phase, they continue to progress through the engineering phase.
Steve Orr : It’s some faster than others and I think you recently seen the announcement with Apache. So but certainly the somehow are moving on schedule for what I think more detailed discussion towards just Q1, Q2 next year.
Operator: Thank you. And our next question comes from the line of Dan McDonald from RBC Capital.
Dan McDonald - RBC Capital: Just wondering is there anything else materiality in the backlog to date for Russia? And then can you give us a sense if there is anything material in the 1 billion plus in bids outstanding that would be exposed to Russia.
Steve Orr : So, maybe we will position Russia a little differently. So the ones that are potential delays, are solely related to South Stream. So I think these are ones that, this is the scope of work. However, Russia or the potential friction of sanctions are presenting opportunities in other ways, so I mentioned already Shah Deniz is moving quicker in terms of final award that we thought and I think it is a direct result of potential frictions associated with sanctions. But the only, to answer your question very clearly then it’s only the South Stream.
Steve Orr : And just to maybe add to that Dan, we do have additional work in our bid book relating to South Stream but only the South Stream. We are not bidding any other projects at this moment at least in Russia nor for that matter are any of our other business units active in Russia. We do not have any operations in Russia at this time.
Dan McDonald - RBC Capital: Would you classify the additional potential for South Stream work and the bid book is material in the context of the sort of 1 billion plus number?
Steve Orr : No, there are not, what it is quite frankly we are bidding on the joint protection for Line 2 and we are also bidding on some concrete coating scope of work for Line 2. So it’s a fraction of what we have already been awarded. So, it would be a fraction of the 130.
Operator: Thank you. (Operator Instructions). We do have a follow-up from the line of Dana Benner from AltaCorp Capital.
Dana Benner - AltaCorp Capital: Just one more thing I wanted to see if anyone quills you a little bit more in acquisitions. You have been true to your word in wanting to build out the platform moving into desert and a much broader strategic vision. So, I am sure lots of people would love to hear an update on how you view the world from an acquisition perspective these days?
Steve Orr : So, Dana, we are continuing to execute, so we have a what I would call a mature M&A team in place and a mature process of doing M&A and I think as you look at the deals we have done, we are flexing that muscle. We will continue and we can filter our opportunities again in the three ways we are looking at it which is technology acquisitions tuck on yours and platforms of growth. I think we have opportunities and in particular we then box again in another way which is along the integrity management which I think Desert fits in very nicely and gives us a platform geographically to expand from. Probably as to other areas that we are probably focused on the lot right now is on the ability to take ShawFlex and Canusa-DSG into the oil field through connectivity, so we are looking at this phase on what we can do. And the other one that appears to be very interested right now and there seems to be scope for these extensions of technology that bring enablement to the integrity space. So, this is probably the top priority that I would say you may see some visibility. But acquisitions are interesting because the one that you chase is not often the one that you get, as you filter through them. So, other opportunities come in and out of the filtering process all the time, so we are looking for opportunities in oil field asset management, in addition if the correct one came along to add on to the production system aspect of Flexpipe we would also be very interested there.
Dana Benner - AltaCorp Capital: And just what I think about, your Petrochemical segment margins were really quite strong and I know that you have synergized operations certain parts of your business and is this become maybe a better benchmark for what we can see out of that group going forward?
Steve Orr : I wish, I wouldn’t suggest that a 19% EBITDA margin is the new normal. It was an extraordinary quarter for that segment, that’s very good. We hit that level before. We were there actually in the third quarter of last year, so we have bumped up against that level before but I think we are now very solidly in the high-teens at least and that’s encouraging for EBITDA margin.
Operator: Thank you. And that concludes our question-and-answer session for today. I would like to turn the conference back over to Steve Orr for any closing comments.
Steve Orr: So, I just like to thank everybody for taking the time to meet with us this morning and I look forward for the next quarter call again. So, thank you.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the program and you may now disconnect. Everyone have a good day.